Operator: Good morning and welcome to the MDC Partners fourth quarter and year-end results conference call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Matt Chesler, Vice President, Investor Relations.
Matt Chesler: Good morning, everyone. I’d like to thank you all for joining us today to discuss MDC Partners’ financial performance for the fourth quarter of 2016. Joining me from MDC are Chairman and CEO, Scott Kauffman, and CFO, David Doft. Before we begin our prepared remarks, I’d like to remind you all that the following discussion contains forward-looking statement and non-GAAP financial data. As we all know, forward-looking statements about the company are subject to uncertainties referenced in the cautionary statement included in our earnings release and slide presentation and are further detailed in the company’s Form 10-K and subsequent SEC filings. For your reference, we’ve posted an investor presentation to our website. We also refer you to this morning's press release and slide presentation for definitions, explanations, and reconciliations of non-GAAP financial data. And now to start the call, I’d like to turn it over to our Chairman and CEO, Scott Kauffman.
Scott Kauffman: Thank you, Matt. And good morning, everyone. Although 2016 was a challenging year in many respects, we finished the year on very solid footing. Revenue for the fourth quarter increased 8.8%, above our expectations. Organic revenue growth was 3.8%. Adjusted EBITDA was in the upper end of our guidance range for the year and down 15% due to the severance and real estate actions we took to secure a leaner cost structure. Our financial results for the fourth quarter and the 2017 outlook that David will detail confirm that our business is turning a corner and is poised for growth in the years to come. And here's why. We’re seeing a re-acceleration of topline momentum. We've addressed cost and we now have the balance sheet we need to grow. Very importantly, I'm optimistic and energized by what I'm seeing across our world-class portfolio of creatively driven agencies. Through it all, our partners continue to attract and retain the most progressive talent in the business, producing innovative and effective work that leads the industry and they serve a growing roster of many of the world's most iconic brands. Our partners are punching far above their weight in terms of industry recognition, both domestically and around the world, recognition that validates the effectiveness of their work and makes phones ring. And we’re especially proud that Advertising Age recently named one of our own, Anomaly, as agency of the year. Multiple other MDC agencies also won prestigious awards from Advertising Age this year, including 72andSunny, Crispin Porter + Bogusky, and Redscout. Sister publication Creativity called out Crispin, Anomaly and 72andSunny for their creativity. And the Gunn Report identified Forsman & Bodenfors as the fifth most awarded agency in the world in addition to being the most awarded agency in Sweden for the last five years. These accolades all matter because they underscore the strength of our partner firms and their leadership position. This is evident in the significant amount of net new business secured in the fourth quarter, $33 million, despite the loss of a portion of BMW and the high level of gross new wins we've been seeing for a couple of years now. Notable wins in the fourth quarter that we can mention publicly include General Mills, MINI in China, Diesel, T-Mobile in Europe, Coca-Cola’s Fairlife Milk, AccorHotels, Loews Hotels, WordPress, El Pollo Loco, ADT, Dannon yogurt and Lenovo. We’ve seen this good momentum continue into the first quarter with new business wins including Diet Coke, Fair and MillerCoors experiential marketing, as well as a promising pipeline. We expect 2017 to be a robust year for new business, given the healthy marketplace and our highly competitive offerings. Next, when you consider our key growth drivers, our media business stands out. The success we had in 2016 demonstrated the exciting opportunity we have in front of us. MediaPost media executive of the year Martin Cass and his team have a deep understanding of where the industry is headed, with a business model squarely positioned on the right side of the shift toward greater transparency and collaboration with creative. We have high confidence in the performance of our media business in 2017. Another area that I believe will fuel organic growth for years to come is the increasing collaboration we’re seeing across the network. Whether agencies partnered together, refer business to one another, or leverage MDC's business development group, collaboration is an important strategic focus for me. It’s why I continue to allocate resources toward it and reinforce the culture that supports it. I'm also pleased with the progress we've made extending our capabilities around the world to meet the needs of clients. Our Brands Without Borders international growth strategy continues to be a bright spot and a core strategic focus, driving our ability to compete for and win global assignments. While we’ve seen some lumpiness in the reported topline results over the past few quarters, due mainly to the timing of projects, where the revenue is recognized and the loss of Samsung internationally, our global business still grew by 10% organically during the most recent quarter and nearly 17% for the year. Look for continued positive developments around the globe for MDC in 2017, especially with the full-year inclusion of Forsman & Bodenfors, which consistently puts out some of the best and most daring creative work in the industry. What’s also driving value for our company is the work we’re doing to manage our two largest cost areas – labor and real estate – and following through on the actions outlined last quarter. Our staff cost ratio this year was too high, so we took steps to ensure that staffing levels across the network and at corporate are aligned with revenue and in sync with new business prospects. Importantly, our partners have been very careful not to impact their competitive offerings or the long-term growth potential of their businesses. And our new business success clearly underscores the effectiveness of these initiatives. Our efforts around real estate have included implementing several hub solutions and opportunistic relocations, resulting in annualized lease cost savings. While we had some short-term expense associated with these moves around labor and real estate, what you see in our Q4 adjuster EBITDA, our focus on these areas will be a key margin driver in 2017. We’ve also made meaningful progress reducing corporate costs. Excluding other items related to the SEC inquiry, we lowered corporate expense in 2016 by $12 million or over 20%. The talent, the clients, the awards, the wins, it all validates our continued strong market position and attractive growth prospects as our partner firms continue to be innovative leaders in the marketing services industry. We’re making the right moves to post the type of financial performance commensurate with our leadership position, and which will drive value creation for our employees and shareholders. This brings me to the very important announcement that we’ve made a week and a half ago and which will significantly strengthen our balance sheet and liquidity position. The $95 million Goldman Sachs investment is exactly the right transaction for us, ensuring that we have the financial flexibility required for our disciplined approach to growth and to reduce stress on our balance sheet. The premium conversion price of the security further validates the asset value of our world-class agency portfolio and of our future financial performance. In addition, we gain a new colleague in Brad Gross, a Managing Director in Goldman Sachs's Merchant Banking division, who will join our board of directors upon closing and who brings significant expertise and an exceptional track record of helping companies drive value. The Merchant Banking division has been involved with a number of portfolio companies, including Burger King, whose success was driven in part by transformative marketing campaigns, such as the famously disruptive work from Crispin Porter + Bogusky in the 2000s. Goldman Sachs understands the power of truly outstanding, game changing creativity and is well-positioned to help us provide our partner firms with the right resources, so they can continue to prosper. Now that we’ve made the Goldman Sachs announcement, I want to be clear about our capital allocation priorities. Our near-term focus is on the many organic growth opportunities that we have in front of us and continuing to reduce our deferred acquisition consideration liability. Over time, as our balance sheet continues to strengthen and we preserve our improved credit profile, we’ll be in a better position to step back into the M&A market, which historically has proven to be a tremendous source of value creation for us. When the time is right, we’ll take a thoughtful and disciplined approach to new partnerships, business and talent that enhance our strategic offering and provide a strong return profile. In all cases, we’ll not lose sight of our objective to de-lever the balance sheet. In addition, while the process we undertook to evaluate our capital structure strategy is complete and the Goldman Sachs investment is an effective solution for the long-term, we will always look for ways to make further improvements to our balance sheet. As we look to 2017, we expect companies to continue to invest in the growth of their brands. While there are no doubt uncertainties related to government policy implementation, the US consumer is broadly healthy. We see growth and we fully intend to capture more than our fair share. Beyond the changes that are happening on the global political and economic stages, our industry is also seeing its share of change. Shifts in media consumption and buying, the proliferation of marketing technology and data, the growing need for new and cost-effective content, and increased consumer engagement as a result of digital media and emerging technologies like artificial intelligence. Even our competitive set is changing in certain respects. But what hasn't changed is our competitive position. We have the most progressive group of partner firms in the world. They’re creative, innovative, employ the brightest minds in the industry and are building and capitalizing on the latest tools and technologies to drive results for their clients. This is our strength. And no matter what change comes, we’re better positioned than anyone to endure, grow and create value. I'm confident in the many steps we've taken to return to the attractive investment characteristics that you’ve come to expect from us and I look forward to a prosperous 2017. And with that, I'll turn the call over to David.
David Doft: Thank you, Scott. And good morning. We had a solid finish to 2016 with a better-than-expected fourth quarter. Our business is demonstrating improved topline momentum. We finished the year in the top half of the revised adjusted EBITDA guidance range despite cost actions which position us for a recovery of profit in 2017. And the Goldman Sachs investment will provide us with the additional financial flexibility as we prioritize improving our credit profile. We are confident that this transaction will create the foundation to build long-term value for all of our stakeholders as our business reaccelerates. Let's first talk about the topline. Q4 revenue came in better-than-expected due to steady spend from existing clients as well as contribution from new business. Total revenue increased 8.8%. Organic revenue was plus 3.8%, still strong even after factoring in a 75 basis point benefit from past-throughs. A key driver was a pickup of organic growth in the United States to plus 4.3% as we saw broad-based underlying strength and continued outperformance in technology, mobile development and public relations. Our full-year organic revenue growth of 2.3% was clearly disappointing to us relative to the past and the potential of our agency portfolio. But I think it would be helpful to see how this broke down relative to our expectations going into 2016. It comes despite digesting 250 basis points from the unanticipated loss of large clients, most notably Samsung; another 200 basis points from timing and delayed starts on new accounts, most notably in our media business; 100 basis points from declines in certain categories such as financial services; and 30 basis points from a decline in billable pass-through costs. This should give you a sense of the stability of our underlying business. Adjusted EBITDA of $176.7 million for the year includes about $11 million of restructuring charges incurred in the second half of the year and which we do not add back to our reported number. This is consistent with the incremental costs that we spoke about last quarter and which we’ll have paid back in 2017. Full-year adjusted EBITDA also reflects a $6 million year-over-year decline in distributions from our non-consolidated affiliates, offset by corporate cost reduction. Next is cash generation and the balance sheet. We had $54 million of borrowings under our credit facility at December 31. While we were working toward an undrawn revolver at year-end, we did have $28 million of unrestricted cash on the balance sheet. Roughly $20 million of this cash was available to pay down the revolver, but did not get applied. The largest component related to timing of the flow of funds for our international operations. Despite the timing differences, we are generally trending per our expectation. Full year working capital was an outflow of $110 million, which is almost entirely the result of the mix shift in the media business that occurred in the first half that we’ve spoken about on the past two calls. This uncharacteristic outflow of working capital is the most obvious consequence of the shift. The other is a smoothing out of our seasonal working capital trend, which means we should see a meaningfully smaller outflow in the first quarter as well. Before I jump into our 2017 outlook, I’d like to discuss the changes we are making regarding how we communicate our forward-looking expectations. These changes are based on feedback from many of you and are consistent with our peers. Foremost of the changes is that we have shifted away from specific dollar ranges and will now provide growth and margin expectations. So, as we look to 2017, we're targeting approximately 4% organic revenue growth based on contribution from a solid core of existing clients and as the tailwind net new business strengthens. The positive impact of net acquisitions should be roughly 300 basis points, which essentially equates to the remaining two quarters of F&B until we have owned the business for a full 12 months. We currently estimate that the impact of foreign exchange, assuming currency rates remain the same, will be negative 50 basis points for the full-year. We also expect the significant cost actions taken in 2016 to position us for a sharp recovery in profits in 2017. As a result, we are targeting an improvement in adjusted EBITDA margins of approximately 100 basis points. This factors in an anticipated run rate savings from our cost actions, offset by growth and investment in the business. One particular note about adjusted EBITDA is that on a prospective basis, we will no longer be adding back acquisition-related costs, which have amounted to about $3 million in each of the past two years. This is a voluntary move as part of our effort to simplify our non-GAAP reporting. Finally, we're no longer guiding to the metrics formerly known as adjusted EBITDA available for general capital purposes, but we will continue to provide the components in an expanded Schedule IX included in the press release and in the slide presentation. You can use the following in your models for 2017. $8 million to $10 million for non-controlling interest, around $27 million for net CapEx, $5 million to $6 million for cash taxes, and $61 million to $62 million for cash interest. I would now like to comment on our recently announced $95 million convertible preference shares equity investment from Goldman Sachs. This transaction is the cornerstone of our efforts to enhance our credit profile by de-leveraging faster, something which continues to be one of our top corporate priorities. It will bring us the right amount of capital to ensure financial flexibility and to continue to execute on our strategic plan. On a pro forma basis, the investment will reduce our total leverage ratio by nearly half a turn. As for how the new class of MDC preference shares function, the key terms are as follows: The preference shares will be convertible at the option of the holder into Class A shares at a conversion price of $10, which was a 48% premium to the prior 30-day average closing price of $6.75 per share at the time of the announcement on February 15. MDC may force conversion into Class A shares after two years if our shares are at or above $12.50 per share and after five years if our shares trade at or above $10 per share, in both cases for at least 30 consecutive trading days. The preference shares will have a liquidation preference that accretes at a rate of 8% per annum compounded quarterly. And the accretion turns off after five years. Upon completion of the transaction, Goldman Sachs will own 15% of the outstanding fully diluted equity of MDC, assuming the full conversion of the preference shares into 9.5 million Class A shares. If after five years, the preference shares have not been converted into Class A shares, it would result in a maximum potential ownership of approximately 20%, reflecting five years of accretion. There is no obligatory cash dividend nor is there any cash redemption feature. We expect the transaction to close in the first quarter of 2017 and to use the net proceeds to pay down borrowings under our revolver and for general corporate purposes. In terms of our deferred acquisition consideration liability, we had $230 million accrued on the balance sheet as of December 31. Consistent with our goal of reducing our DAC liability on an absolute and relative basis, this is down from $243 million as of September 30 and down from $347 million as of year ago. In 2017, we expect to make acquisition-related payments of $110 million to $115 million weighted to the first half, of which approximately $20 million is payable in cash or shares at the option of MDC. Now, I have a couple of administrative items before we take your questions. As part of annual goodwill impairment testing, we recorded an impairment charge in the fourth quarter of $18.9 million or 2% of our total goodwill to one of our strategic communications businesses. This charge is non-cash and has no bearing on our liquidity or access to capital as impairment charges are a specific add-back defined in our credit agreement. And finally, this quarter we collected an additional $1.6 million of recoveries under our D&O insurance policy bringing the total received to date to approximately $7 million. We expect related legal fees to soon largely go away now that we've settled with the SEC and as the US class-action lawsuit has been dismissed and the appeal withdrawn. The fourth quarter includes a $1.5 million expense for the final SEC settlement, which was also funded through escrow in the quarter. We’d now like to take your questions.
Operator: [Operator Instructions] Our first question comes from John Janedis of Jefferies. Please go ahead.
John Janedis: Thank you. Two questions. First, David, with last week’s investment, is it fair to say the evaluation of your financial and capital structure strategy is complete? And then separately, on last quarter's call, I know you guys talked about the $30 million of run rate cost savings. And I guess knowing you’re shifting away from dollar guidance, I think it does imply about $25 million of EBITDA growth this year. So, I was hoping you can give us maybe the bridge and talk to any underlying cost pressures in the business away from $30 million. Thanks.
David Doft: Thanks, John. So, yes, I can confirm that our analysis of our capital structure strategy is complete with this transaction. Though, I’ll note, we will always look for opportunities to improve our capital structure and our balance sheet. As far as the run rate cost savings and our forward-looking guidance, the reality is at the end of the day, the business continues to move forward and there's areas where we continue to choose to invest in our business in order to drive growth rate and value creation over the long-term. At the same time, there is always areas where we look to find continued improvements in the operations of businesses, given the portfolio aspect of our company and how we manage the company. But at the end of the day, coming off of what was an exceedingly difficult year for us and given the substantial cost moves that we've made, we’re looking to set ourselves up for sharp bounce back in 2017 and we think the financial guidance that we've given indicates that.
John Janedis: Thanks, David.
Operator: The next question comes from James Dix of Wedbush Securities. Please go ahead.
James Dix: Thanks very much. Good morning, gentlemen. A couple of things. I guess one piece of data which you still are providing is net new business wins. How should we be using that in forecasting or kind of crosschecking the outlook that you have? And then, is it right to say that if you stripped out the impact of one-time charges, including severance from 2016, is there kind of a cost base that we should assume that you're going into 2017 with versus 2016? Is it that $30 million delta or is it less than that? Do you have a sense of kind of what the net change is in terms of your cost base, anticipating certain reinvestments, which I presume you are planning? And then I have just a couple of follow-ups on operations.
David Doft: Sure. Thank you, James. So, net new businesses, I think as we’ve long indicated is the annualized revenue of new business wins minus the annualized revenue of client losses. And it is a number that has never track nor what was intended to track specifically to a revenue number or growth rate in our business, given that there's lots of moving parts. And unfortunately, they can’t all be captured in a metric. Generally, the net new business number is retainer-based relationships or long-term reoccurring project relationships, but not short-term project, not volume-based relationship. It doesn't incorporate increases in fee or decreases in fee from individual clients. It only incorporates when we’re winning a new account, a new discipline with an existing client, a new geographic region maybe or losing a piece of business, losing a discipline, losing a region. So, it doesn't incorporate all of the changes. But what it does do is give an indication of trend. And I think, rightfully, as we move through 2016, we had a bit of a choppy net new business experience, given the ins and outs of the wins and losses, and that translated into a disappointing topline for us as we move through the year. Our hope is with a better 4Q than our 3Q, better 4Q than 4Q last year in 2015, and a pipeline that, as Scott indicated, we’re excited about, should give us greater visibility to better topline performance as we move through 2017. And that's what we’ve tried to indicate in the indications of organic revenue growth we expect for the coming year. In terms of cost base, as we indicated on the third quarter call, we took out about $30 million of run rate costs at the time. That is the reduction that we've indicated at the point in time and then the business moves on. I don't feel comfortable giving you a specific number about 2017 outside of the guidance that we just indicated, which is to expect our adjusted EBITDA margins to increase by approximately 100 basis points. And I would note that despite digesting the acquisition-related costs that historically we’ve added back to adjusted EBITDA and we’ve pledged to not add back any more going forward and that's worth a few basis points as well. So, overall, we feel very good about the cost structure that’s in place. But this is a business that lives and breathes and moves on as we win business, as we lose business, as we pitch new accounts, as we hire people, as we sometimes lose people, and that makes the cost structure over time actually quite fluid. So, what’s important to us is the ratio of cost to our revenue, and most notably staff costs to our revenue, which is the most variable of the costs in our cost structure as well as the largest costs in our cost structure. And if we can manage that effectively, then we should have a really strong year.
James Dix: Great. And then just two others. Have there been any senior management changes at any of your top half a dozen agencies over the past three, six months? And if so, what are the drivers of those and any objectives either the agencies or your corporate might have for those changes? And then second, just looking at your all-in leverage now that you have the preferred investment, you said it takes things down by half a turn. But if you look at everything, including the deferred acquisition consideration, kind of how the rating agencies look at it, what would you say your leverage targets and timing are over the next few years? Thanks.
Scott Kauffman: Thanks, James. With regard to staff changes, we placed a large emphasis on the importance of culture in this people-driven industry. You’ve heard me say that I don’t think there’s a business that is more singularly dependent on its people than ours other than maybe a professional sports franchise. So, culture and the landscape that we set that allows great entrepreneurs to innovate, and in our world it’s paramount for us, and so I’m happy to report that there have been no changes in the senior leadership either here at corporate or across our agency network.
David Doft: In terms of the leverage and target, so for several years, we’ve talked about a 2.5 times net debt to EBITDA leverage target and that remains our goal. And while we have gone on a more circuitous path towards that, it still remains our goal in terms of our debt minus cash divided by EBITDA. Given that at some point in the future, we’ll likely make a acquisition or two again and there’ll be some modest amount of deferred acquisition consideration or non-controlling interest related to that, I think you're probably looking at a target of about a half a turn incremental related to contingent acquisition-related payments that, over time, may be there if we find the right opportunities. So, we have some time to get there, but given the significant drop-off in our DAC liability from our continued paydown of those obligations, as well as the paydown that we expect in 2017, which should be $110 million, maybe as much as $115 million, we should then begin to generate substantial cash from operations of the business in excess of our acquisition liabilities or liabilities related to historical acquisitions, which then we expect will improve the balance sheet at a much faster rate.
James Dix: Great. Thanks very much.
Scott Kauffman: Thank you.
Operator: The next question comes from Dan Salmon of BMO Capital Markets. Please go ahead.
Dan Salmon: Good morning, everyone. Scott, in your prepared remarks, you highlighted media and international as growth opportunities. That’s not new. What I'm hoping you could just maybe expand on for color is, as you go into 2017, is your enthusiasm, conviction, whatever word we want to use around those opportunities, is it rising, is it steady, are there some areas where your expectations are coming in a little bit? Just on the margin view, if you can add a little bit, it would be great. And then, David, just on the similar topic of long-term targets. Back in December 2014, you put a long-term EBITDA margin target out there 17% to 19% and raised it. I assume that one still is out there and in place as well and with a bit more circuitous route as well. But could you maybe talk a little bit – I assume you won't put a timeline on it, but what some of the major variables, both internally for you executing the business plan as well as externally, could be – do determine the pace of getting to those targets potentially.
Scott Kauffman: Thanks, Dan. So, as far as general enthusiasm goes, I’d say more rising than steady borne out of the accelerated patterns that we saw coming out of Q4. But let me talk specifically about media and then I’ll get into international. On the media front, 2016 was the year that we laid a lot of the foundation for our expect growth in media. This is the year that we consolidated our media operations under a single roof. It took our presence in the media landscape up a notch in terms of size of engagement with the win of 21st Century Fox, followed that with the E*TRADE win, built out our Los Angeles operations in that regard. And so, the investments that we’ve made there, we think we will start to see pronounced performance from in 2017 and beyond. We’re also looking for a higher degree of integration amongst the client roster that we have. So, we see a pendulum swinging back towards clients who are interested once again in having more of the work being done under a single roof. There was a period of time, over several decades, when media spun out and was a standalone entity. I think we saw maybe no more prominent in the way than the most recent presidential elections, the power of earned media and how the merger of earned media and content and strategy, also now driving the creative process, is becoming one cohesive whole in many respects. And so, media becomes a fulcrum. It’s a place where a lot of our data and technology repositories sits and we expect that our centralized media operations will start to have a more dramatic impact across the network of our creative agencies as well. So, I’d say rising optimism in that respect. On the international front where we’ve grown quite efficiently over the years. We talked about our Brands Without Borders strategy and our spoke and hub approach. We don't have the burden of the legacy of hundreds of brick-and-mortar operations around the world. We’ve let technology build out our infrastructure. And what used to be referred to as creative boutiques are now the very agency brands that are knocking down global agency record assignments for the iconic marketers of the world. And so, we see a continued trend there. Increased presence with some of the major global packaged goods manufacturers [indiscernible 35:29], for instance. So, we entered the international markets really at the request of clients of ours. It’s really a demand-driven approach in our case. And with virtually a tiny share of the overall global spend for marketing, it’s a lot of easy upside for us. I read recently that over two-thirds of leading US advertisers are going to put their creative review up – creative businesses up for review in the coming year. And with about 1.5% share of the total market, odds are that 90-plus-times out of 100 hundred, those won’t be our clients seeking new relationships. So, we’re bullish about the pipeline the David and I have both mentioned. We’re bullish about the challenges that the CMO faces today in figuring out where media should sit, what their international strategies are, and the importance that our brands bring to the strategic thought process of how to align an agency’s resources there. So, I’d say rising confidence in our international strategy as well.
David Doft: Dan, as for margins, you’re right. Our long-term target has not changed. It continues to be 17% to 19% for our adjusted EBITDA margin. And I think there's a couple of interesting things to note of what's different today versus when we initially gave that target at the end of 2014. And it's not just that our margins were a little bit lower in 2016. I’d say the most important thing is that our corporate costs are substantially lower than when we gave that target. Corporate costs are down, I think, over two years, about 50%. It’s one to two margin points just at corporate relative to all of MDC. There is nothing changed in terms of the operating profile of the agencies in our portfolio, in terms of their margin potential. As I think you know, covering this space for a long time, when you have a couple of losses at agencies, they may have lower margin that year. Severance is a big part of that as well as getting the cost structure right and the slight lag that always happens in that case for the revenue base you have. But once you make those adjustments, there’s no reason why you can't get a business back the margins that were before and nothing has changed in terms of the competitive nature of the businesses and their ability to earn a fair fee for their work and their ability to reach those sort of margins. We've also talked for a long time about a mix shift in our portfolio that we continue to believe will be a tailwind to margin over the long-term as well as the continued scaling of our international operation to more normalized margins. After spending several years building out categories around the world that, as Scott indicated, is clearly driving success for us in the new business marketplace. It now makes up 14% of our revenue overall and has some strong momentum that will continue to bring it towards more normalized margins. So, if you add all of those together, we continue to have, we believe, high visibility on a much better margin profile of the business in order to achieve the targets that we put forth in the past.
Dan Salmon: Great, thank you.
Operator: The next question comes from Steven Cahill of Royal Bank of Canada. Please go ahead.
Steven Cahill: Yeah, thank you. Good morning. I was wondering if you could speak a little bit about the organic growth guidance for the year. Last year, you did end up underperforming some of your earlier expectations in the year. So, when you thought about the guidance for this year, how did you look at it a little bit differently in order to de-risk it for those of us sitting sort of outside the fence? And relatedly, you talked a little bit market share gains. And I was just wondering if you could comment – because some of your peers that are a bit larger are sort of growing at similar rates this year. So, do you expect to gain share during the year? And if so, in what areas? And I’ve got a quick follow-up.
David Doft: Thanks, Steve. Going into a year, we look at the business we have in hand. We look at the pipeline of opportunities and we look at the risks that we have in the portfolio based on various items that might put a client [indiscernible] is a client speculated to be a takeover candidate, has there been change in the leadership at the CEO or CMO level or senior marketer level within the client, is their business not performing as they or we had hoped. We look at all of those things in order to determine risk about what might leak out of the bucket, so to speak, in terms of the revenue base that we have. And we come up with a reasonable target for the current year. It’s the method we've always done. Immediately, maybe we’re trying to incorporate more risk given the last year and the surprises that happened to us during that year. But believe we put forth a reasonable number, an achievable number for us going forward. In terms of the market share gains, overall, we do have a drag going into the year from, in particular, one large loss that was more media, which was Samsung which has been widely reported publicly. And we need to cycle through that before we would expect to have a more clear view of the market share gains of MDC relative to our peers. And so, on a full-year basis, we’re looking at an organic growth number that we think is likely modestly above overall industry growth, which we tend to look at as kind of 3% to 4% in the coming year. But our hope and expectation is, as we cycle some of the things that impacted us in 2016, the outperformance of MDC will become more clear in our reported numbers going forward.
Steven Cahill: Great. That’s very helpful. And then maybe just on experiential marketing, I was wondering if you could talk about the contribution to that in the quarter and how are you looking at that business and thinking about whether or not that's a core business that you want to be in in the coming years.
David Doft: So, I’ll start and then I’ll hand off to Scott. So, we don't break out individual disciplines in terms of their specific financial performance. That’s not the segments which we report our numbers within. Overall, though, we did indicate in our comments and in the press release that there was a benefit from pass-through costs in the quarter to revenue. A lot of that benefit tends to be in experiential marketing businesses and can be used as a nice indicator, I would say, of our exposure to that business on a year-over-year basis. As far as its strategic positioning, Scott?
Scott Kauffman: I think if you look at – think of experiential, particularly for the lifestyle category brands, it’s the last mile of consumer engagement and we’re in a period now where you’ve got the most enlightened consumer in the world who will tell you anything and everything about him or her and is seeking that immersive brand experience. So, empowered marketers are taking advantage of the information and insights that we can draw from all the different sources of insight. And experiential is part of the mix. We talk about everything coming back under one roof in a soup to nuts experience for the brand, for the for the marketer. And so, we view experiential as strategic. And the recent announcement of the MillerCoors engagement – we do other work for that parent company – is an important manifestation of the growing footprint that we enjoy with brands once one of our portfolio companies is working with the company. And so, it continues to be, I think, an important part of the end all experience for the marketer, for the consumer, and we like about this being an enlightened era of marketing with all the data exchange that goes on.
Steven Cahill: Maybe just a quick follow-up on that, if you don’t mind. One of your peers talked about field marketing as potentially being a business it would look at divesting. Is it a conclusion to suggest that that is something you would be interested in adding if it was on the market?
Scott Kauffman: We don't comment on any specific M&A activity. We’d take a look at the entire panoply of marketing and advertising services. When I hear the term field marketing versus experiential marketing, maybe there’s a nuance there, but we don't comment on specific opportunities.
Steven Cahill: Okay. Thanks very much. Great quarter.
Operator: The next question comes from Tom Eagan of Telsey Advisory Group. Please go ahead.
Tom Eagan: Great, thank you. Just a follow up on the media business. I gather you don't break out discipline, but I guess looking back at 2016, if you could provide us a little bit of color on what caused the delay. And I have a couple of follow-ups. Thanks.
David Doft: Tom, I think we’ve long discussed this throughout 2016. We had a couple of substantial new business wins that ended up beginning later than we hoped by several months. That impacted our revenue versus what we had expected when we gave our initial guidance. What’s the reason for the delay, ultimately, it’s up to the clients on determining the timing of moving a piece of business over to us. Ultimately, the business did come over to us. It is in our run rate revenue in the latter part of the year and going forward into 2017.
Tom Eagan: Okay, thanks. And then, I’m looking at 2017 guidance, I guess what is the implied range, if you could kind of provide that, for the expectations for the media business in your guidance? Thanks.
David Doft: Again, we do not report media as a standalone segment. We only report two segments. And historically, we have not given guidance broken out by our segments, but by the overall company. And so, unfortunately, I can't give more specifics than the guidance we’ve already given.
Tom Eagan: Okay. And then, there’s one last question on that, I guess, you mentioned investing in the business, what kind of increase should we expect the margins – you’re going to be able to enjoy the margin increased in 2017 and 2018? Thanks.
David Doft: In what business? I apologize.
Tom Eagan: Sorry, in the media business. What kind of order of magnitude should we expect to be able to increase the margin?
David Doft: Tom, I apologize, but it’s the same answer as before. We don't report media or guide media as a separate segment, so I cannot give any specifics to our margin expectations, specifically around those businesses.
Tom Eagan: Okay, thank you.
Operator: The next question comes from Barry Lucas of Gabelli & Company. Please go ahead.
Barry Lucas: Thank you and good morning, I just have two and one centers around the variability in performance quarter to quarter, 3Q to 4Q, so look at organic growth, US, Canada and the rest of the world kind of thing. So, I just wonder if you could provide a little bit more color on some of the drivers that either provided the improvement in performance or were the drags that tailed you back in certain geographic regions and were they category related etc.
David Doft: Thank you, Barry. So, the fourth quarter definitely saw an improvement of organic revenue growth in the United States and a deceleration in Canada. The net was North America was better overall, but it was very much I’d say a tale of two countries, where the US has begun to re-accelerate for us. The Canadian market has definitely for the last couple of years been a bit more inconsistent, given the economy there and is reliance on commodities has been a bit more choppy. We do feel very comfortable with our position in the marketplace and that as the economy stabilizes we’re in strong position to grow. And in fact, some of the new business and pipeline momentum that Scott indicated before very much is in the Canadian marketplace and we’re excited about the prospect for better performance there going forward overall.
Barry Lucas: Okay. Thanks, David. Just, I wouldn’t say it’s a housekeeping question, but it's not been an infrequent occurrence that single client losses have impacted performance at MDC disproportionately, primarily a function of size of the company, maybe you could just provide some sizing, if you will, of single largest client or top five or top 10 as a percentage of total revenues.
David Doft: Sure. So, our top 10 client is 23% of revenue. It’s, I believe, the lowest exposure to our top ten clients we've ever had. For those of who’ve been around for a long time, if you go back to 2009, 2010, our top ten clients I believe was 46% of our revenue. So, we’ve come a long way. Our largest client is less than 4% of revenue.
Barry Lucas: Thanks very much for that, David.
David Doft: Thanks
Operator: [Operator Instructions] Our next question comes from Peter Stabler of Wells Fargo Securities. Please go ahead.
Peter Stabler: Good morning. I guess couple of quick ones from me. David, you talked about the drag on working capital in 2016. Can you give us a sense of the improvement you're expecting in 2017? Do you expect a contribution from working cap? And if so, can you help us a little bit on the saving? You said that it will become a little less seasonal, but I assume that you’d still see the typical seasonality we see in the agency groups. Thanks very much.
David Doft: Thanks, Peter. So, you’re right, 2016 was a disappointing year from a working capital standpoint. Again, another topic I think we’ve discussed extensively as we’ve moved job throughout the year. In 2017, we look for a more normalized annual working capital behavior where we tend to target a neutral working capital year. Hopefully, if all goes well, it will return to contributor to cash. And if you look from 2013 to 2015, we averaged generating cash from working capital of between $40 million and $50 million in each year. But we do not forecast that or model that. We tend to look at kind of a neutral expectation as we are entering this coming year. In terms of the seasonality, you're right. It is still the normal seasonality. It's just not as exacerbated, I guess, as we've seen in the last couple of years. So, we do expect an outflow of working capital in the first quarter. That is normal. It happens every year. It’s around the timing of medium production flows of the business. We would expect a better performance in the second quarter of the year. The third quarter tends to be plus or minus, kind of neutral-ish sort of quarter. It could contribute a little bit. It could use a little bit depending on the year and timing of client behavior. And in the fourth quarter it tends to be a generator of cash, working capital to bring it back to a more neutral or hopefully positive cash position.
Peter Stabler: Thanks, David. But at this point, neutral would be kind of a target. You're not expecting a further drain at this point?
David Doft: We're not expecting a further drain. As we indicated on the 2Q call, there was a one-time shift in the client base based on the repositioning of our media business, and now is the impact in 2016 since then, and our expectation going forward is a more normal behavior of working capital as per historical trends.
Peter Stabler: Thanks, David.
Operator: And this concludes our question and answer session. I would like to turn the conference back over to Scott Kauffman for any closing remarks.
Scott Kauffman: Thank you, operator. In closing, I want to take a moment to thank the 6000-plus dedicated members of the MDC family for making MDC Partners the group with the most exciting prospects in the industry. All of us at MDC and across our partner network are more committed than ever to the bold actions that will drive measurable results for clients. And as we do this, we’re committed to building long-term value for all of our stakeholders. Thank you and good morning from New York City.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines. Have a great day.